Emmanuel Rapin: Hello, ladies and gentlemen. Thank you for joining us this evening to Louis Hachette Group 2025 First Half Results. I'm Emmanuel Rapin, Head of Financial Communication, and I will be guiding you through this presentation. We will present the Louis Hachette Group results and those of Lagardère that are, of course, embedded. Nevertheless, if you want to focus only on the Lagardère Group performance, you can find them on the press release as well as the slides that relates to Lagardère on the dedicated website. This call is led today by Jean-Christophe Thiery, Chairman and CEO of Louis Hachette Group; and Gregoire Castin, Deputy CEO of Louis Hachette Group and Gregoire Castaing, Deputy CEO of Louis Hachette Group and Lagardère Group. Joining us for this presentation are Pauline Hauwel, Group Secretary General; Dag Rasmussen, Chairman and CEO of Lagardère Travel Retail; Frédéric Chevalier, CEO of Lagardère Travel Retail; and Claire Léost, CEO of Prisma, who will each share their insights and their key highlights. After the presentation, I will be reading the questions from financial analysts only. I now leave the floor to Jean-Christophe Thiery.
Jean-Christophe Thiery: Thank you, Emmanuel. Good evening, everyone. I am delighted to present today the results of Louis Hachette Group. But before that, though, I would like to pay a tribute to Sophie Stabile, Lagardère's Chief Financial Officer, who sadly passed away last week after a long and brave fight against her illness. Sophie did a remarkable work to help the group bounce back after joining Lagardère in the midst of COVID crisis. She will make a lasting mark on the group. Now the results. So following the listing of our group in December 2024, we are now reporting on our achievements for the first half of the year. You will see that, again, our results are very satisfactory. Louis Hachette Group posted a solid growth with an all- time high EBITDA of EUR 220 million, thanks to the performance and complementary of all our activities. We have also reached a new low of our debt, thanks to, once again, a very strong cash generation in the first half and the successful refinancing operations completed this semester. We have demonstrated that our plan to be a diversified leader in the promising fields of publishing, travel retail and media is solid and the strong growth in our market capitalization in recent months reflects our investors' confidence in our development prospects. So I now leave the floor to Gregoire Castaing, who will go through these results in detail.
Gregoire Castaing: Thank you very much, Jean-Christophe, and good evening, everyone. I'm also pleased to share with you the Louis Hachette Group's strong and remarkable results for this first half of this year. Let's start with the key figures of the group. As you can see, at the end of June '25, Louis Hachette Group's revenue reached nearly EUR 4.5 billion, up from EUR 4.3 billion as of June '24, underscoring a continued upward trend. Our revenues are up 4% as reported and up 3% on a like-for-like basis. Our operating metric, adjusted EBIT or EBITDA is up by 5%, amounting to EUR 220 million. The free cash flow generation, as you can see, is also very good considering the seasonality of our activity. Of course, I will come back to this later, but you can already see the positive impact on the balance sheet side over the last 12 months rolling period, we decreased drastically our debt by EUR 483 million and reached a level below EUR 2 billion. Let us have a closer look at the performance of our different businesses. Starting with the Publishing business. Revenue, as you can see, was up 3% this semester at EUR 1.3 billion, mainly supported by a strong momentum of literature segment in our English-speaking markets. That compensates a slowdown of education in Spain and literature in France after a very strong first semester in '24. Excluding the impact of the acquisition of Sterling Publishing in the U.S. and 999 in the Netherlands, revenue was up 1%. And more specifically, in the U.K., the growth reached a solid level of 4%, supported by a huge success of Rebecca Yarros' new book Onyx Storm released in January '25. which revived also, by the way, the sales of the 2 previous titles in the saga, Fourth Wing and Iron Flame. In the U.S., the activity remained stable in a market that was slightly down. This reflects definitely the good sales momentum and new release such as The First Gentleman by James Patterson and Bill Clinton. Back catalog sales remained also solid, including, of course, The Housemaid by Freida McFadden. And we are very pleased and proud to share also with you that according to the latest market review, Hachette Book Group is today the #3 in the publishing American market. In France, sales decreased slightly by 1%, outperforming the market that fell by 2%. This change is mainly due to a larger publication schedule in general literature in the first half of '24, as I mentioned. This semester sales were driven by the book of Pierre Lemaitre, Aurélie Valognes and 2 titles by Michael Connelly. Illustrated segment continues to benefit from the success of coloring books and cooking books. And for the rest of this year, our publishing houses in France have prepared a very good release schedule, including the release of a new [indiscernible] of Asterix in October and many other highly anticipated books. So we are quite confident for the second semester regarding the French market. For the second quarter of this year, publishing post a slight decline of 2% linked to the basis of comparison with a growth rate of almost 8% in the second quarter of '24. Activity is usually more dynamic in the Q3 with curriculum reform in general high schools in France this year and then Q4 for the Christmas gift season, of course. Also worth to notice that digital format continue to grow at a good pace which now represent close to 30% in the U.S. and the U.K. and globally 15% of the publishing revenues. And as you know, this has also a positive and relative impact on margin. Speaking of margin, let's have a look to the operating margin. As you can see, the EBITDA reached EUR 103 million, very stable compared to EUR 104 million last year for the same period, maintaining the publishing operating margin at a high level after a first half year '24, as I mentioned, which was already very high compared to historical figures. Actually, we put on this slide also a reminder of the level of the EBIT for June '23. And as you can see, we had a huge improvement compared to our figures 2 years ago by more than double the EBITDA compared to June '23. For the first semester of this year, we achieved the steady results, thanks to a favorable mix of sales in the U.S. and the U.K. The strength of our backlist sales is also supporting our operating performance as well as the decrease of restructuring costs. These items were partially offset by a slowdown of activity in LatAm and in literature in France, I mentioned it earlier. Let's move on now to Lagardère Travel Retail. The first part of this year has been marked by a very solid growth, reflecting the strength of our strategy and the quality of execution in this uncertain and very volatile environment. Travel Retail reached a revenue of EUR 2.9 billion as of June '25. Excluding North America restructuring effects and the impact of the '24 leap year, growth would reach 7%, which is again a strong performance in the current context. North Asia revenue declined close to 30% due to business rationalization and store closures. And besides this specific situation, all regions delivered a positive growth. In Europe, activity was lift by an important number of openings by commercial actions and growth in the air traffic. The most important opening is the launch of our duty-free activities in Amsterdam at the beginning of May. By the way, our teams led by Dag and Frederic made a remarkable job to open on time and the beginning of this Amsterdam duty-free business are very encouraging for the second part of this year. If we have a look to the U.S. business for Travel Retail, Lagardère Travel Retail secured revenue increased by 1%, which is actually a very good news considering the situation in this market and a slight decrease of 1% in air traffic over the period. The activity was supported by the strong momentum of Travel Essential and Food Service in this market. For the second part of '25 travel -- second quarter, sorry, of '25, Travel Retail posted a 4.1% like-for-like growth, driven by growth -- strong growth in the EMEA improvement in the North America market. It's worth also noting that in this activity, the peaks of the year, as you know, are still to come with travel activity linked to summer holiday, Thanksgiving and then Christmas. Moving on to profitability for Lagardère Travel Retail, we are also pleased to share this very solid EBITDA at EUR 117 million, again, impressive if you compare these figures to the one that we delivered in '23 for the same period. As the result, our operating margin reached 4.1% of revenue, which is actually a high level considering again our seasonality. Travel Retail achieved this growth, thanks to its robust top line performance, the positive effects of the activity rationalization in North America and North Asia that I mentioned and rigorous cost control also. H1 '24 also included significant onetime positive items related to residual governmental support received in the U.S. and rental favorable adjustment linked to the COVID period. Let us move on to Lagardère Live on the Slide 10. And as you can see, we have decided to rename Lagardère Live what was previously called the Other Activities segment. This segment comprises Lagardère News, Lagardère Radio, Lagardère Live Entertainment, Lagardère Paris Racing and also the corporate function. And we think that this new share banner appeared a better choice to highlight the Lagardère Media, Entertainment and Leisure activities in our communication. And of course, in the meantime, each business remains also its own brand and legal statute and no change regarding the perimeter of this branch compared to last year. For the first half of '25 for Lagardère Live, revenue from this branch totaled EUR 115 million. Excluding the impact of the sale of Paris Match in November '24, the evolution is favorable and revenues are up 3%, as you can see. The News and Radio segment achieved this 3% growth, fueled by the continued expansion of Europe 1, our French famous radio station with Europe 1 strong ratings and audience solid performance from the press and contribution from ELLE International licensing and brand extensions. In addition, as you can see, Lagardère Live EBITDA was also a loss of EUR 1 million, representing EUR 18 million improvement year-on-year. This improvement is supported by strong cost saving measure and positive onetime effects. Indeed, that includes savings also obtained at the beginning of this year but related also to the previous year activity. So we might be slightly still negative in '25 for the full year. But as you can see, the trend is really positive and be sure that we will renew our cost optimization efforts for the rest of the year. To finish going over the performance of our activities, let me make a few comments on Prisma Media also. For the first half of '25, Prisma Media generated revenue of EUR 144 million, down 2% as a reported basis -- on a reported basis, reflecting the shrinking press market and changes in the digital usage leading to a lower online advertising revenues. Prisma continues to be proactive with new successful launches in luxury and in new segment. On the right-hand side of this slide, EBITDA stood at EUR 3 million, down EUR 6 million, mainly due to restructuring charges since Prisma launched at the beginning of this year, a new project in order to strengthen its saving efforts and adapt again its organization. Excluding these restructuring charges, the EBITDA only declined by EUR 3 million year-on-year, thanks to cost discipline that I mentioned. Coming back to the group global financial performance. First, I'll, of course, begin with the top line figures. As you can see, the reported growth in terms of revenue, as I mentioned, is 4% or EUR 150 million in value. This semester organic development was definitely the main driver for this growth with EUR 124 million delivered by the business. The main scope effect relates to the launch of our duty-free operation in Amsterdam Schiphol since May. The win of this tender that was announced last December resulted in an acquisition of 70% stake in the joint venture, the remaining stake of 30% being held by the Amsterdam Airport. And this concession has been accounted as an acquisition, which is not always the case for this type of tender. The remaining perimeter effect concern [Standing United] and 999 acquisition that has already mentioned it at publishing level. EBITDA rose by 5%, reaching EUR 220 million. We are really happy again to see that this high level of EBITDA continues to be almost equally supported by the 2 main activities, EUR 103 million from Publishing, EUR 117 million from Travel Retail. Here, let me again remind you that margin generation of our activities is strongly geared into the second semester. So we should be confident for this second semester. Let us have a look now at the rest of the P&L. Below EBITDA, after deducting amortization and intangible assets related to M&A and positive adjustment linked to IFRS 16, our profit before interest and tax amount to EUR 161 million. That is a 17% increase year-on-year. Below this item, finance cost improved by EUR 10 million in the first half of this year, thanks to the reduction of the gross debt and also, to be frank, to the lower average cost of debt and the decrease of the rates. Income tax expense decreased by to EUR 27 million compared to EUR 43 million, reflecting exceptional item last year and tax prepayment refund to be received in '25. As a result, total net profit came to EUR 13 million, an improvement of EUR 47 million resulting from better operational performances. Next, let's dive into the operating cash flow figures regarding cash and considering, again, the seasonal pattern of our supply cycle, I think it's even better to focus on the free cash flow before changes in working cap. And if we look to this cash flow before changes in working cap, this semester, it amounted to a total of EUR 161 million compared to EUR 149 million in the first half of '24, up EUR 12 million or 8% on a year-on-year basis. All of our activities generate positive free cash flow before change in working cap, thanks to higher operating results and tight control of OpEx. Again, a very strong and balanced performance. And if you know -- have a look to the right-hand side of this slide, you see again that even if the cash generation in the first semester is still below the level of the second half, our efforts to improve it are gradually bearing fruits. This section on cash naturally leads us to our balance sheet and more especially the evolution of our net debt. On Slide 17, you can see the usual graph showing the net debt bridge over the last 12 months. At the end of June '24, our net debt at Louis Hachette Group level amounted to EUR 2.4 billion. Total free cash flow generation over the 12 months amounted to more than EUR 400 million. Beside this operational cash flow, the sale of Paris Match was definitely a material cash inflow, partially offset by the acquisition of 999 Games and Sterling by Lagardère Publishing and again, the acquisition of the 70% stake in the JV for Amsterdam. In May, we paid EUR 0.06 per share as the first dividend to our shareholders amounting to a total of EUR 60 million. We also paid EUR 91 million to minorities, including EUR 30 million to other shareholders of Lagardère. Our bridge also reminds you that in the context of the Vivendi split, Prisma Media was recapitalized in December '24 for an amount of around EUR 200 million. Finally, we paid interest for an amount of EUR 93 million. Altogether, these movements lead us to a total net debt level just below EUR 2 billion, as you can see, [EUR 1,958 million]. At this point, I'd also like to make a brief remark to those who monitoring closely the net debt at Lagardère level. Similarly to what we saw for Louis Hachette Group, we are proud to show that Lagardère's net level also improved and stand below the EUR 2 billion threshold at EUR 1.99 billion. It represents a EUR 260 million decrease over the 12 months rolling period. So again, very good level of deleveraging. As a result, Lagardère net debt ratio decreased by 2.5x at the end of June '25 as compared to 3x at the end of June last year. We are on track with our net debt trajectory, but of course, we stay focused in order to again deleverage the group in the coming months. And to continue on this topic, let's move on the next slide, Slide 18. During the spring, as you may know, and despite a highly unstable financial market, the Lagardère Group successfully issued a EUR 100 million 5-year bond. This transaction was more than 3x oversubscribed, demonstrating investor confidence in the group solid business model and financial performance. Lagardère S.A. also raised EUR 300 million through Schuldscheindarlehen, a private placement structured in euro with a mix of maturities up to 5 years and fixed and floating rates. After these 2 refinancing operation for EUR 800 million, our net debt structure is now more diversified between banks loans, private holders, including Vivendi and bonds. And the maturities, as you can see, are well spread until 2030, as you can see on this slide, as well as the average maturity extended to 4 years. In conclusion and to sum up this presentation, I'd like to point out that despite a volatile context and thanks to the strong performance and complementarity of our activities, we have improved again our half year financial results, which were already record in '24. The group continues to focus its effort to support its capital allocation policy of first gradual deleveraging of Louis Hachette Group through well-balanced contribution of every activity; second, maximizing shareholder value through regular dividends and of course, also maintaining investment and flexibility for strategic growth opportunity. Thank you very much. We are now available to answer your questions.
Emmanuel Rapin: Thank you, Gregoire. Thank you for the global overview of the second -- the first semester. We have 5 analysts who have raised questions. There are questions coming from Eric Ravary from CICM. There are some questions coming from Thomas Renaud from Kepler. There are some questions coming from Jérôme Bodin of ODDO and as well Julien Roch from Barclays and Christophe Cherblanc from Bernstein Societe Generale. So I will start with the first question that, in fact, is addressing the current trading of activities. I think all analysts are interested to know what is the current trend in terms of revenues for the Q3 from Lagardère Book Publishing as well as Travel Retail. So I will first leave the floor to Jean-Christophe Thiery about how is the current trading of Book Publishing.
Jean-Christophe Thiery: Thank you, Emmanuel. So first, I would like to have a few words about Q2 and the decline in activity for this Q2, which is actually mainly attributable to Spain, Mexico and France. So in 2024, Spain was still benefiting from the national curriculum reform that is coming to an end this year. Only 1 level of secondary school in Andalucia compared to 3 levels last year. So of course, this was anticipated, and we knew we would have softer education sales in Spain this year. And Q3 should be softer as well. In Mexico, we are facing unfavorable timing with Q3 in education, and we are also facing some decline in trade sales compared to an excellent 2024 year. Last in France, we had a less vibrant release schedule in 2025 compared to 2024 with, for instance, Guillaume Musso's, Quelqu'un d'autre which had been released in March 2024 with strong reorders in Q2 or with the new [Robert Galbraith] in May 2024 [indiscernible] in May 2024 at [indiscernible]. Last but not least, we registered a decline in sales at Livre de Poche compared to a historical year in 2024 with again a Guillaume Musso last year. So now for Q3 and H2, we are expecting a very strong release scheduled, including a new Asterix album in October, a stronger program in French literature compared to H1, including titles by Dan Brown, [Follett] [indiscernible] Stock or Sorj Chalandon for [Grasset] or [Philippe de Villierardela] [indiscernible]. In the U.S., we will publish a title by Harlan Coben and Reese Witherspoon and another book by Ken Follett, Circle of Days with Grand Central. And of course, in France, we expect an increase in education sales on the back of the junior high school curricular reform with mass French and English textbooks.
Emmanuel Rapin: Thank you, Jean-Christophe. Maybe, Dag, you can take the lead for Travel Retail.
Dag Inge Rasmussen: Good evening, everybody. So Travel Retail, the trend is good. Obviously, you have some good weeks, some bad weeks, but we feel that the summer has a good start. Obviously, the takeover of Auckland, Singapore Cruise terminal and Schiphol in Amsterdam is contributing significantly. Europe is good. I mean, it's mainly intra-Euro traffic, which is driving the growth and international traffic is fairly flat. North America is -- has seen a flat traffic until now. We see some improvement in traffic very recently, and China remains negative with the evolution of our network.
Emmanuel Rapin: Yes. If I may continue to ask some questions, Dag, -- can you give us some elements about Amsterdam's Schiphol activity? How do you see this activity performing in 2025? And maybe also some clarification about China restructuring. How do you see the impact and the speed?
Dag Inge Rasmussen: Yes. So as Gregoire nicely pointed out, the takeover was a huge success, and we had huge congratulations from our landlord. So the takeover was very good. This being said, it was a takeover from [indiscernible] to the other. And then progress comes progressively. We opened a new area July 1, and we'll do further improvement. So we can imagine, we can -- we will have a positive ramp-up progressively along the year and with a full impact in '26. But in then, we will continue to modernize and improve the situation. So it will be a progressive improvement in sales in Schiphol. But right now, we are slightly above expectations, which is great news. China, we are continuing to rationalize the network. Traffic is not bad but spend per pax continues to be bad. The big question mark is how quickly will the landlords understand the evolution of the market. So we're answering some tenders right now. We'll see whether we come back to reality or not. Obviously, we will remain very cautious in this area. If we look more globally, we can say that the second half, we should have sales which increased by high single digit. And if you average out between the 5%, we have now and the high single digit, you can have an idea of how we see sales going forward.
Emmanuel Rapin: Thank you, Dag. I will come to Claire Leost about Prisma. So Prisma has announced some recent restructuring. What do you expect on the outcome of such plan for your full year?
Claire Leost: Good evening, everybody. Yes, we -- as Gregoire mentioned, we have a drop of EBITDA of EUR 6 million, EUR 3 million being the impact of the restructuring charges of the company and EUR 3 million being a decrease of our digital sales due to the impact of generative AI on our audience. So the key point on our results is that the digital consumption of our readers is changing, is shifting very fast. So we have to adjust to it.
Emmanuel Rapin: Very clear. We are coming more on the global basis and most probably it's for Gregoire Castaing. During Q2 2025, USD weakened versus euro. And so the analysts would like to know what could be the impact to consider for the full year '25 in terms of revenue and most probably recurring EBIT for the group?
Gregoire Castaing: Thank you, Emmanuel. You're right. It's a key question for the second part of this year. As I mentioned it earlier, the American markets are very significant for us in terms of revenue, both at Publishing and Travel Retail levels, but also key for the margin and profitability since we generate good margin there. Of course, the USD versus dollar fold will impact us to make it simple as the -- at the current USD-euro rate of 1.17, we estimate that the total impact on the group revenues is around EUR 100 million the whole '25 year as compared to '24 figures. And the impact on the profitability on the EBITDA will be close to EUR 10 million on group EBITDA or even result at Lagardère level. Let me mention that on the contrary, in terms of cash, the effect of the weakening of the dollar against euro is largely mitigated by the portion of the Lagardère S.A. debt transformed in USD through derivatives since we have been active in the M&A investment in the U.S. in the past years, we have a part of our debt, which is in dollar and this evolution of the rate between USD and euro could have a positive impact at this level.
Emmanuel Rapin: Thank you. Very clear. We have a question about investments for book publishing. I think Jean-Christophe we had a project in the past. And I think the analysts would like to know what is the current status of this project? And do you see some evolution in 2025?
Jean-Christophe Thiery: Yes. So we are studying a potential project to upgrade our French logistics and IT operations. However, we are still in a preliminary phase and no significant investments are planned for 2025.
Emmanuel Rapin: There is a more general question for Gregoire about the use of cash. Could you clarify up to what level your deleveraging is going to be pursued? Do you have any type of target in terms of leverage? And if you have capacity, what type of M&A would you consider and in which type of perimeter?
Gregoire Castaing: Again, actually, deleveraging remains the key priority for the group. We closely monitor CapEx, even if we spend, as you know, more CapEx in '24 compared to '23, and we want also to spend CapEx to fuel the future growth for '25. But we prioritize investment, and we will want to keep some mark manner to size bolt-on M&A opportunities as we did with 999 Games recently or Union Square at the end of '24. We don't give guidance, as you know. But if we give you just an idea, we think that by '25 year-end, the group aims to achieve a leverage ratio for Lagardère of around 2x. So this is our target, and we think that it's at this stage, feasible.
Emmanuel Rapin: In terms of performance of the new Live branch. We mentioned that the EBITDA strongly moved towards nearly 0, but it's still negative. But you mentioned that there was some items of one-off. Is it possible to give some color on these elements in order to know what's going to happen in 2025?
Gregoire Castaing: Regarding this EUR 18 million improvement for Live business. To make it simple, I would say that half of this improvement is linked to savings purely on '25 and half is linked to comparison basis, including [OTI] last year and retroactive savings this year linked to '24.
Emmanuel Rapin: Thank you, Gregoire. There is one more question that is more linked to Arnaud Lagardère stake holding into Louis Hachette Group. Is Arnaud Lagardère have increased his stake during 2025?
Gregoire Castaing: The answer is yes. The stake of Arnaud Lagardère in Louis Hachette increased slightly from 8.61% to 8.69%.
Emmanuel Rapin: Thank you. I think we have covered all the questions. And thank you for all the answers and thank you for this great results presentation. We see you in the Q3.
Gregoire Castaing: Thank you.
Dag Inge Rasmussen: Thank you.